Operator: Good day, and a warm welcome to today's conference call of the PATRIZIA SE, following the publication of the 9-month financial results of 2025. [Operator Instructions] Having said this, I hand over to PATRIZIA's Director, Investor Relations, Janina Rochell.
Janina Rochell: Thank you, Sarah. Welcome, everyone, to our analyst and investor call for 9 months 2025. This is Janina speaking, and I'm happy to be back from parental leave and truly excited to reconnect with all of you. I am pleased to have our CEO, Asoka Wohrmann; and our CFO, Martin Praum, with us today. Asoka will start by presenting the highlights of the first 9 months 2025. Afterwards, Martin will guide you through our 9 months financials and provide an outlook for the rest of the year. As mentioned by Sarah, the call will be followed by a Q&A session. During today's call, we will refer to our results presentation, which you can find on our website. If you have any questions, the IR team is more than happy to assist. As usual, this call will be recorded and made available on our website. We will also provide a call transcript for further reference. With that, I'd like to hand over to Asoka to start with the presentation. Asoka, the floor is yours.
Asoka Woehrmann: Thank you, Janina. Great to have you back. Ladies and gentlemen, a warm welcome from my side as well. Let me comment on our 9 months 2025 results. Hopefully, you will have already seen our ad-hoc release and financial earnings statement that we published this Tuesday. We have raised our guidance for EBITDA and EBITDA margin, and we also specified our guidance for assets under management for the full year 2025 financial year. Our financial performance in the first 9 months of 2025 showed a strong EBITDA growth to EUR 44.6 million. We significantly improved our EBITDA margin to 22.1%, well above last year's EBITDA margin of 3.5%. This earnings performance is a clear result of our new organizational setup that enables us to scale our operations efficiently while maintaining strict cost discipline. Last year, we established an integrated investment platform, including fund management and asset management. We strengthened our international client division, which is responsible for product management, development, fundraising and client relationships. And we created a new operations platform that is leveraging our technology expertise to streamline processes and strengthen collaboration across all business divisions. This new operational strength enables us to drive efficiency across all platforms and profitable growth in the new cycle. Our assets under management were slightly up quarter-on-quarter to EUR 56.3 billion. This improvement was driven by a small amount of net organic growth as well as reemerging positive valuation effects. And we use open client commitments for additional investments for our clients. Especially in real estate, transaction activity shows that more clients are taking advantage of market opportunities in the new cycle. Let us move to Slide 4. In preparing for the new cycle, our clear aim was to drive cost down and effectively scale our integrated investment platform for smart real assets. Today, our integrated investment platform enables us to leverage our operational strengths in both real estate and infrastructure investment management. As a result, our management fees alone more than [Audio Gap] covered total operating expenses. This is a key step. As already said in our last half year analyst call, we see the new cycle is starting to gain momentum. However, let me emphasize again that this cycle will be slower, tougher and bumpier than previous cycles. As you can see from our results, transaction activities went in quarter 3 with more clients returning to the buy side. Our closed acquisitions surged by around 41% in the first 9 months of 2025, reaching EUR 1.8 billion, a continuation of the positive trend we have seen since beginning of 2024. In the third quarter, we closed 3 major real estate acquisitions with triple-digit euro ticket sizes for international clients, both in Living and Commercial, as you can see on this slide. And let me reemphasize, our sector-specific investment strategies are led by the 4 dual megatrends, the digital, urban, energy and living transition. All dual megatrends are powered by technology as a key value driver. The Living sector remains one of our key investment strategies, offering attractive long-term returns for our clients. Living has been a strategic growth pillar for PATRIZIA for more than 40 years and we have an exceptional track record in Living. Today, modern living goes beyond traditional residential real estate and includes fast-growing attractive subsegments like affordable housing, student housing, co-living, micro living and senior living. And all Living segments are poised for growth in the new cycle. With valuation stabilizing, transaction volumes picking up, we believe this is the right moment to start investing in real estate again. In addition, we also see momentum building in our Infrastructure business. We have signed several transactions which will accelerate Europe's energy transition. We have created a Nordic district heating platform worth over EUR 300 million. This will support our AUM in the fourth quarter after the expected closing, and it demonstrates PATRIZIA's strong mid-market position as a leading investor in Europe's energy transition. Let me continue to the next slide to show you what your clients -- what our clients expect for the future. Our Annual International 2025 Client Survey provides further proof that the new cycle is gaining momentum. This survey captured the views of 110 leading institutional investors of PATRIZIA, representing close to EUR 1 trillion in capital. The main takeaway is that client sentiment has clearly improved in real estate across all major categories, and the survey anticipated that real estate valuations are improving again for the first time since 2022. Another result -- key result is the growing strategic importance of infrastructure investments for institutional clients. Driven by the dual megatrends, the energy transition and digital infrastructure are top priorities for investors, and both areas clearly play to our strengths. Just to give you one example, our strategic investment in aligned data centers in the North America at the beginning of the year that has already performed very well. And with the expansion of our Nordics district heating investment platform, we continue to leverage attractive investment opportunities, the energy transition trend. So you can see our sector-specific investment strategies driven by dual megatrends are gaining traction. Let us move to the next slide. Let me conclude by reemphasizing our 3 management priorities. First, clear client and product focus; second, further improving earnings quality; third, and scaling our smart real asset investment platform. Those 3 pillars are the crucial success factors to win in the new cycle. First, we will deliver outstanding products and services to our clients and step up fundraising. One key investment area for PATRIZIA has always been and will be the living sector with all its attractive subsegments. Second, we want to grow management fees and improve our co-investment results while maintaining strict cost discipline to strengthen our long-term profitability. Third, we will strengthen synergies between real estate and infrastructure, what we call Re-Infra, and scale our integrated investment platform. And we will continue to focus on attractive sector-specific investment strategies driven by the dual megatrends. Thank you for your attention. And now I would like to hand over to our CFO, Martin Praum. He will guide you through our quarter 3 financials and the updated 2025 outlook in detail. Thank you for your attention. Martin, please.
Martin Praum: Thank you, Asoka, and hi, everyone. Welcome also from my side. Let's continue on Page 9 of the presentation. As some of you might remember from our last analyst and investor call at end of second quarter, we back then showed a decline in equity raising year-on-year. But at the same time, we were confident that momentum would come back throughout the year. And this is exactly what happened during the third quarter. With equity raised, as you can see here, now at EUR 0.8 billion after 9 months, up 7.6% compared to last year. If you look at this on a quarterly level, we had EUR 0.5 billion in the third quarter, and this is the highest in the last 4 quarters. The subsequent investments for our clients from equity raised and existing equity commitments were the major drivers for continued net organic growth in AUM. Valuation effects turned positive during the third quarter. Remember, at Q1, this chart showed a EUR 0.6 billion negative effect. This turned into a 0 impact at the second quarter. And now you can see a positive EUR 0.2 billion valuation support. However, currency effects still weigh on AUM. This is leading to a virtually stable overall AUM development if compared to the beginning of the year. But if we would exclude these valuation -- sorry, these currency effects, then AUM would be up 1% year-to-date. In my view, it's also noteworthy that open equity commitments have also increased from EUR 0.9 billion last quarter to EUR 1.1 billion at the end of the third quarter. So the overall picture shows a stabilization. And as Asoka mentioned before, the cycle is slower and probably bumpier. That also means that the speed of market recovery is currently slower than what many market participants expected at the beginning of the year. This also drove our decision to move the AUM guidance range slightly down to now EUR 56 billion to EUR 60 billion for the year-end '25, also taking into account the currency effects. Now let's move to the next page, Page 10, on profitability. Basically, what you see here is that we decoupled from the overall market environment. We showed a material increase in profitability with EBITDA up over 500% to EUR 44.6 million, and this is already within the previous full year guidance range of between EUR 40 million to EUR 60 million after only 9 months. Management fees well exceeded operating expenses, and we saw a smaller contribution to revenues from transaction and performance fees compared to last year, driven primarily by a higher share of investment for clients with all-in management fee structures and also continuously slower realizations for clients, which has an impact on performance fees. The key message to me here is overall management fees contributed with 91% to total service fee income. The material reduction in operating expenses and the improvement in net sales revenues and co-investment income, basically, this means rental income of consolidated assets and dividends from co-investments and funds, both significantly supported the strong year-on-year increase in EBITDA. Now let's have a deeper look on the next 2 pages, 11 and 12. You can see that management fees showed resilience in line with AUM, with market-driven fees, like transaction and performance fees, still under pressure. If we look at it on a quarterly basis, on the next page, it shows that management fees had a breakout from the trend in the quarter, which was driven by catch-up fees we were able to invoice during the third quarter So the overall picture is unchanged with resilient management fees and volatility on market-driven revenues, which is why it is so important that the reduced operating expenses are now well covering -- are well covered by management fees. Let's go to the next page, Page 13, to look at the cost development. You will see that we further intensified cost efficiency measures. We've made the platform more efficient, adjusted to the market cycle and made significant progress, both on staff costs and on other operating expenses. We will continue working on platform efficiency. And the reduced cost base provides PATRIZIA and its shareholders with significant positive leverage once fundraising and investment volumes increase more markedly in absolute terms. And as you might know, PATRIZIA runs, as we call it, a dual engine, a business model that is driven by our asset-light investment management combined with the use of our balance sheet capital to co-invest and seed strategic investments. And this is what you'll see on the next page, 14, of the presentation when we talk about the segment reporting. The significant improvement of our EBITDA was driven by both investment management and our balance sheet investments. One driven by cost discipline, resilience in AUM and management fees, the other driven by a normalization of income from consolidated assets and higher rental revenues. Let's look at how we've invested the balance sheet capital on Page 15. You'll see the value creation from using the group's balance sheet equity to invest both in real estate and infrastructure. And we will continue to take selective market opportunities to support new fund initiatives, and we will also crystallize value when the time is right also for our shareholders. We will always make sure that we have a decent financial flexibility, both in terms of balance sheet ratios and available liquidity. Talking about liquidity, Page 16 shows the strong improvement in operating cash flow during the first 9 months. This is, on the one hand, driven by the general improvement of profitability, but also by the successful active management of working capital freeing up additional liquidity. Let's move to Page 17. And this is a financial reporting you are probably well familiar with. You will see the balance sheet and liquidity overview on this page. Net equity ratio is still strong, now closer to 70% and up 1.3 percentage points compared to the last quarter. If we look at available liquidity, this also increased by EUR 20 million compared to the last quarter, now slightly above EUR 100 million, with further financial flexibility shown on this slide. Let me finish with the outlook for 2025. Our key messages here are: first, we expect the stabilization and slow recovery to continue, so the direction of travel is right, and to support the revenue side, while the positive effects from our cost efficiency measures should continue to support our P&L going forward. And this drives the guidance change and the increase of the EBITDA guidance from EUR 40 million to EUR 60 million to now EUR 50 million to EUR 65 million. Subsequently, the EBITDA margin is increased from around about 15% to 21% to now 19% to 24% for the year '25. We will continue to raise equity and use existing equity commitments from our clients to invest along the dual megatrends. However, the overall level of equity raised, the expected timing of closing of investment transactions and currency effects led us to slightly move the midpoint of our AUM guidance from EUR 60 billion before to EUR 58 billion. Also, year-end valuations for real estate and infrastructure will play a role on where we will end the year with this KPI. As a summary, the market is stabilizing and slowly going into growth mode again. And as we said in the past, it's not a V-shaped recovery, but rather a steady improvement. Second key message, we have decoupled PATRIZIA's P&L and profitability from the market and market-driven revenues, and we'll continue to work on efficiency, quality of earnings and overall profitability to the benefit for both our clients and our shareholders. With that, I'm handing back to Sarah, and we're happy to take your questions.
Operator: [Operator Instructions] And having said that, let's take a look in the queue. And by now, we have one virtual hand from a person who has dialed in by phone with the phone ending 370.
Philipp Kaiser: It's Philipp from Warburg Research speaking. Congrats to the sound operating performance. I have a couple of questions. I would go through them one by one, starting with the EBITDA and the main driver of the EBITDA improvement, the cost-cutting measures. You did a superb job on streamlining your platform. But I can imagine the greatest potential now is lifted. So looking ahead, do you expect that the operating expenses can further decline? Or are you expecting just a kind of a flat development for the next couple of months and the next year?
Martin Praum: Philipp, it's Martin speaking. And thank you for your feedback on what we've achieved so far. We will -- as I said, we will certainly continue to work on the expenses side and do everything we can also as a reaction to the market environment to make this platform more efficient. We still believe that there's some room for more efficiencies. And you will also see –- as you see in the number, this is basically an effect of measures we've not taken this week, but a few quarters before. So the full impact of the measures we've taken, take a while to show up in the P&L. So we expect also some further potential here in terms of P&L and cost efficiency going forward.
Philipp Kaiser: Okay. Perfect. Then the next one is on the management fees. You also stated in your presentation that they are partly positively, impacted by one-off catch-up fees. Could you provide us with the exact amount of those catch-up fees?
Martin Praum: Yes, sure. If you look at the management fees on a quarterly basis, you would see that the third quarter was very strong with EUR 60.6 million of management fees versus an average of, say, EUR 55 million to EUR 57 million in the quarters before. The third quarter was positively impacted by around about EUR 2.5 million of catch-up fees. So if you basically would exclude that, we would talk about around about EUR 58 million run rate management fees in the third quarter.
Philipp Kaiser: Okay. Perfect. And my next one would be on the AUMs. You already stated during your presentation that you already have signed acquisition, but not closed yet, which will support AUM development. Could you give us a broad range which volume we can expect for the last quarter of the year?
Martin Praum: Sure. I can give you a broad guidance, because what I said is we certainly have a pipeline of a few hundred millions that has been signed already and will close in the fourth quarter as acquisitions. So you have from a net organic growth prospects some upside in the fourth quarter. The somewhat unknown is timing effects of closing of certain transactions and valuations. You might remember that slightly over 25% of our assets are valued in the fourth quarter. So this will have an impact. And then currency effects. But as you can see in the guidance range, which is now EUR 56 million to EUR 60 million. And where we stand today in terms of AUM, we currently expect that the AUM at the end of the year will come in higher than what we've reported for the first -- for the third quarter.
Philipp Kaiser: Okay. Perfect. My last question with regards to the EBITDA would be the rental income. So it has come from the balance sheet assets. Do you have any visibility when those assets might, yes, [ went ] out from your balance sheet and you kind of, yes, get rid of the positive impact of the rental income? I think it's roughly EUR 12 million. This year, we will earn those assets. So any visibility on that?
Martin Praum: It is actually -- it really depends on the asset because we've got different assets and portfolios on our balance sheet, Philipp. So in terms of exit date, we will have a look at the market and then we'll have a look at the assets, because some of these assets are what you would call core assets with a very stable cash flow. These are the ones that could come to the market earlier. Then we also have some value-add exposure, where we will spend some CapEx and invest to increase the value, and then find the right time to exit. So for your modeling, I would, for the time being, assume that the rental income will stay with us for, say, the next 1, 2 quarters, and then we'll see where the market is and how we've developed the assets further.
Philipp Kaiser: Okay. Perfect. My last one would be on your mid-term guidance. I mean it's probably a bit too early to get very nervous, but does anything change with regards to your, yes, EUR 100 billion guidance in 2030?
Asoka Woehrmann: Very valid questions. Again, the mid-term guidance is something we agreed that we are looking every year. We are running and looking what the market environment, client behavior, sector developments are. We are very strongly geared, as we mentioned, around our dual megatrends. We are very confident that trends are right, but it is -- we are seeing our clients are getting more confident to invest, but it's much slower, as Martin and I mentioned earlier. So I do think it is always for us to go to EUR 100 billion, is a North Star. And we will go in this direction. We will do everything. We have now the operational leverage, what we are creating. And I do think it a little bit depends on the dynamic. Every year, we have to review how far and how reachable is this magic number. But even though, we are confident that the market will gain some momentum at some point. But I do think -- also '26, I do think it will be slower. It will be, again, not a stabilizing year like '24 and '25. It will see some growth, but not the same expectations as we have created in the plan. So we will consult and go back to our NTP and we will check that, the EUR 100 billion number. But even though, our profitability numbers and expectations, we will keep on a clear eye, and we want to deliver strong profitability to our shareholders.
Philipp Kaiser: Okay. And maybe out of curiosity, just purely on operational-wise –- I'm just making up a number, say that by the end of next year, you reached EUR 60 billion in AUM. Then 4 years left for the EUR 1 billion (sic) [ EUR 100 billion ] in AUM, left. Roughly EUR 10 billion net organic growth per year. Just operational-wise, is it possible that your current streamlined platform can handle this transaction volume per year? I guess kind of the overall transaction volume would be a bit higher with like disposals, et cetera. So is it just purely from operational-wise possible to have over EUR 10 billion per year?
Asoka Woehrmann: Yes. No, great arithmetic you open up. I think Martin will talk in some second. But let me give you a little bit the philosophy behind the EUR 100 billion number and the clear North Star of our organization. And it's important -- you are right, '26, in our expectation, that will be a growth year for the sector, will come back, as we said, but in a modest way. And that's really good. But it is the jump of base, EUR 60 billion. In my opinion, without guiding now, it's a probable one. And you're arithmetic every year EUR 10 billion. First of all, in the past, PATRIZIA was able to manage, yes, sometimes EUR 9 billion to EUR 10 billion transaction volumes. So that's nothing new. We are experienced. Also, our transaction sizes are much bigger. And don't forget the projects we are involved also in the co-investment area, also in more and more in SMA, they are the big clients, they are coming like in the Nordic district heating platform. I'm not going to name the clients, but they are very big clients. They have sizes. They can come in. And we will -- we are expecting the transaction sizes will be bigger. And again, important for you, we are expecting the infrastructure as well as the heating topics in living, affordable housing, they will get much more, let me say, public support for these themes, and we want to be involved. And I think even we have not definite programs for that, we are seeing, and I do think that all is possible. I don't know if we are ending in EUR 90 million or EUR 1 billion or EUR 110 billion, but the direction is right and the desire. And this North Star is the right direction, as you can see. And that is, in my opinion, important. It's a quite unknown market at the moment because I think as you not see the transaction, the willingness of clients to invest because the fixed income area is so booming and performing. That going a little bit the demand down, I do think the people will turn quite fast for long-term returns in real assets, and we are ready for that. Martin, please.
Martin Praum: Yes. I can only second what Asoka just said, and want to go into the same direction. If you compare PATRIZIA and what we've delivered in the past in terms of investment volumes, you shouldn't forget that PATRIZIA's platform has actually grown over the last few years. We've built the platform. And besides the efficiency programs we run, we continue to invest in the platform. We have grown the number of institutional clients over time. We have now access to different pools of capital. And it is a question of ticket size. We are more international than we were in the past cycle. And we now have access to also larger funds like state funds that will give us opportunities to create new investment solutions for these clients. Overall, certainly depends on the market environment. And sometimes in a cycle, there is a point where suddenly, you can say, the powers come to play. And we do expect that as well at some point to happen. But there's a good opportunity we'll reach these targets and we will go into that direction.
Operator: And now we will move on with the questions from Lars Vom-Cleff.
Lars Vom Cleff: One question remaining, and that would also be regarding your EUR 100 billion North Star. I mean, on the current basis, that implies a CAGR of around about 12%. And if I understood you correctly, you feel that all of that is doable with organic growth. But seeing real estate markets somewhat stabilizing, revaluation -- or negative revaluation slowing down, if not having come to a halt, and taking into account your equity ratio and the available liquidity, would now not be a good time to think about potential bolt-on acquisitions again in order to reach your target faster?
Asoka Woehrmann: I think also -- thank you for your view. And also, as Philipp asked the EUR 100 billion and mentioned the EUR 100 billion, don't forget in our thinking there was also revaluation of the market that was included. It's not only pure organic growth, capital raising. And we expect that infrastructure has much more momentum. And I do think you can read and [ smoke ] every day from the newswires how much people are geared to invest in infrastructure. So far not happening than anecdotical evidences like data centers and so on. I do think that will get momentum. But your question -- and Lars, let me say that in -- since I joined now nearly 2.5 years now as PATRIZIA CEO, this question came up, do you don't want -- what's your opinion about inorganic growth? I always -- even though I was always active in my former thinking, I always said we have to press the pause button, because we have to consolidate our platforms, we have to create our efficiency, we have to do -- we are a very fast-growing organization over the last 15 years. We sprinted to EUR 60 billion. I think it's a remarkable growth. That means also remarkable growth of platforms. Different platforms, fragmented platforms have to be consolidated. I do think the effects are playing out for the now investors, as Martin very nicely played out. But again, I am seeing opportunities. I do think as long as lasts the slow, sluggish growth of the sector, and clients demand are going to persist. I do think that small players will have a very -- much difficulties, and mid-sized players, to be in the market. I think there will be opportunities. But we will not do for AUM growth inorganic growth activities. I've been all my career against that, and I will also not do to destroy shareholder value. If that enrich our expertise, open up new markets and client segments, then the right arguments are there -- and the pricing must work for us and for our shareholders, we will do that. This is the way of our organization. I'm thinking we are full of entrepreneurial spirit in this organization, and we are not going to blast our AUM. Even we phrase the $100 billion as a North Star, I do think we have to do the right things. But I do think it will be -- and I think your question is the right timing. Now in my view, Lars, we have to open up our eyes for opportunities, also for strategic partnerships. I do think the market is just going to shape. I can see lot of partnerships are -- programs are coming. And there's a very interesting period, in my opinion, kicking in, in, let me say, illiquid sector space. And I do think, therefore, I am super keen to answer in the next quarterly earning meetings this question. And we will be active. A very clear answer, yes, we will look into that, but various opportunities, not only pure M&A transactions.
Operator: And by now, we have one virtual hand left from Thomas Neuhold. [Operator Instructions]. So Mr. Neuhold, please go ahead.
Thomas Neuhold: I have 2 questions on your balance sheet investments. Firstly, I was wondering if you can please provide an update on your Dawonia investments. Have there been any new developments there? And the second question is on the strategic seed investments. What is the status of the 3 strategic seed investments? And by when do you expect to be able to release at least some capital there? And I was wondering if you have any additional seed investments in the pipeline? And if yes, if you can talk a little bit about potential size, sector and timing of those?
Martin Praum: Sure. Can you hear me, Thomas?
Thomas Neuhold: Yes, I can.
Martin Praum: Okay. So first of all, on Dawonia, probably a repetition of last quarter's call, but we are still in very constructive negotiations with the investors in that fund. All on track. And we will update the market once we have news on that. The portfolio continues to perform very well. I think this is also in line with what you heard from other listed residential players in the market, and we can also confirm that these developments are also reflected in the Dawonia portfolio. In terms of seed investments, I made a statement on that before. Some of them are on the list for an exit and others will keep for a little while to work on the asset. So there's no detailed time frame for disposal at this stage. We are still happy with the rental income we are generating and the development of these assets. In terms of additional seed investments, you might have noticed we've increased our exposure to Dawonia in this year because we saw good opportunities. And also, we continued to invest in co-investments like in the infrastructure space, where we spent another single-digit million amount in the third quarter to facilitate further investment and product growth.
Operator: Thank you so much. And in the meantime, we have received no further virtual hands. So everything appears to be answered by now. Therefore, we come to the end of today's conference call. Thank you, everyone, for joining and your shown interest. And also a big thank you to you, Asoka and Martin, for the presentation. And it was a pleasure to be your host today. And now I hand back to Martin for some final remarks, which concludes our call.
Martin Praum: Thank you so much, Sarah, and thank you everyone who attended this call and thank you for your great questions. We are happy to meet as many of you during our next conference attendance. We'll be in London next week and we'll also be at Deutsche Borse's Equity Forum from 24th to 22nd (sic) [ 26th] November in Frankfurt. We'll be there for the full 3 days, and we'll be happy to meet and discuss. And with that, thank you, everyone, and speak soon. Bye-bye.
Asoka Woehrmann: Thank you.